Operator: Ladies and gentlemen, thank you for standing by. [Operator Instructions]  
 Welcome to Avery Dennison's Earnings Conference Call for the First Quarter ended on March 30, 2024. This call is being recorded and will be available for replay after 4:00 p.m. Eastern Time today and until midnight, Eastern Time, May 1. To access the replay, please dial 1 (800) 770-2030 or 1 (609) 800-9909 for international callers. The conference ID number is 3299441.  
 I'd now like to turn the call over to John Eble, Avery Dennison's Vice President of Finance and Investor Relations. Please go ahead, sir. 
John Eble: Thank you, Mandeep. Please note that throughout today's discussion, we'll be making references to non-GAAP financial measures. The non-GAAP measures that we use are defined, qualified and reconciled from GAAP on schedules A-4 to A-8 of the financial statements accompanying today's earnings release. We remind you that we'll make certain predictive statements that reflect our current views and estimates about our future performance and financial results. These forward-looking statements are subject to the safe harbor statement included in today's earnings release. On the call today are Deon Stander, President and Chief Executive Officer; and Greg Lovins, Senior Vice President and Chief Financial Officer. 
 I'll now turn the call over to Deon. 
Deon Stander: Thanks, John, and hello, everyone. We're off to a strong start to the year. In the first quarter, we again delivered sequential earnings growth, with earnings up significantly compared to prior year and slightly above our expectations. We grew volume in both segments, significantly expanded margins, generated strong free cash flow and delivered significant growth in Intelligent Labels. 
 Materials Group once again demonstrated its resilience, delivering significant volume growth and margin expansion both above expectations as downstream inventory destocking subsided and volumes continued to normalize. Label volume in Europe was particularly strong, as our teams managed through the now concluded Finnish port strike, which resulted in slight customer order pull forward in the quarter. Volume in North America was up compared to prior year and improved significantly on a sequential basis as inventory destocking moderated in the quarter as expected.  
 Overall, emerging market volume was strong with particular strength in India and the ASEAN region and China was up mid-single digits in the quarter.  
 Solutions Group delivered strong top-line growth, driven by high-value categories and expanded margins, despite apparel imports continuing to be below demand. While the apparel import trend has started to show slight signs of improvement in North America, retailers and brands remain cautious in their near-term sourcing plans, and we continue to expect apparel industry volumes to normalize midyear.  
 Enterprise-wide Intelligent Labels grew mid- to high teens in the quarter, with particular strength in non-apparel categories, while apparel began to recover. In the quarter, logistics volumes, while strong, were below expectations due to lower domestic parcel volume. Overall, the ability of our solutions to help address industry challenges, such as labor efficiency, waste, transparency and consumer connection in very large volume categories like logistics and food is increasingly resonating with customers.  
 Key pilots and rollout are delivering significant value for our customers and compelling proof points for broader segment adoption. We continue to invest to capture the significant opportunity ahead as we grow the size of the overall industry, further advancing our leadership position at the intersection of the physical and digital. As we continue to see adoption in new categories and a rebound in apparel, we are targeting to deliver roughly 20% growth in our Intelligent Labels platform in 2024.  
 Stepping back, the underlying fundamentals of our business are strong. We're exposed to diverse and growing markets with clear catalysts for long-term growth. We are the industry leaders in our primary businesses with clear competitive advantages in scale and innovation. We have a clear set of strategies that have been key to our success over the long term and across a wide range of business cycles, and we are uniquely positioned to connect the physical and digital to help address some of the most complex problems in the industries we serve. We remain confident that our strategies, along with our team's ability to execute in dynamic environments will enable us to continue to generate superior value creation through a balance of GDP-plus growth and top quartile returns over the long term.  
 In summary, we delivered a strong quarter in a still uncertain environment and reaffirm our full year guidance to deliver strong earnings growth in 2024. I want to thank our entire team for their continued resilience, focus on excellence and commitment to addressing the unique challenges at hand.  
 And with that, I'll hand the call over to Greg. 
Gregory Lovins: Thanks, Deon. Hello, everybody. In the first quarter, we delivered adjusted earnings per share of $2.29, up 6% sequentially and up 35% compared to prior year, driven by benefits from higher volume and productivity. 
 Compared to prior year, sales were up 4% ex currency and 3% on an organic basis as higher volume was partially offset by deflation related price reductions. Adjusted EBITDA margin was strong at 16.3% in the quarter, up 270 basis points compared to prior year. with adjusted EBITDA dollars up 25% compared to prior year and up 4% sequentially.  
 We generated strong free cash flow of $58 million in the first quarter, up $129 million compared to prior year. 
 And our balance sheet remains strong with a net debt to adjusted EBITDA ratio at quarter end of 2.3x. We continue to execute our disciplined capital allocation strategy, including investing in organic growth and acquisitions while continuing to return cash to shareholders. In the first quarter, we returned $81 million to shareholders through the combination of share repurchases and dividends.  
 Turning to the segment results for the first quarter. Materials Group sales were up 2% ex currency and on an organic basis compared to prior year, driven by low double-digit volume growth, partially offset by deflation related price reductions and mix. Looking at label materials organic volume trends versus prior year in the quarter, North America was up mid-single digits and up mid-teens sequentially and as downstream customer inventory destocking subsided in the quarter as expected. Europe was up significantly, more than 30%, as Q1 2023 was the low point in the destocking cycle. Volume was also strong sequentially, up low double digits.  
 Emerging regions delivered strong volume growth as well, with Asia up mid-single digits with particular strength in India and ASEAN and Latin America up mid-teens. Compared to prior year, sales in both Graphics and Reflectives and Performance Tapes and Medical categories were down mid-single digits.  
 Materials Group delivered a strong adjusted EBITDA margin of 18.3% in the first quarter, up 4 points compared to prior year, driven by benefits from productivity, higher volume and the impact on margin percentage from deflation-related price reductions, partially offset by higher employee-related costs. 
 Regarding raw material costs, globally, we saw modest deflation sequentially in the first quarter as expected. Towards the latter part of the quarter, we began to see raw material cost increase in certain categories, paper in Europe, in particular. As such, we anticipate modest inflation sequentially in the second quarter and are addressing the cost increases through a combination of product reengineering and pricing actions. Given the timing of these pricing actions and our annual employee wage increases, we expect Materials Group margins will moderate slightly in Q2.  
 Shifting now to Solutions Group. Sales were up 10% ex currency and 6% on an organic basis, with high-value solutions up low double digits and base solutions up low single digits. In the quarter, enterprise-wide Intelligent Labels sales were up mid- to high teens, with strong growth in non-apparel categories, particularly logistics and general retail, and with apparel categories, up both sequentially and compared to prior year.  
 Solutions Group adjusted EBITDA margin of 16.1% was up 40 basis points compared to prior year driven by benefits from productivity and higher volume, partially offset by higher employee-related costs and investments. 
 Margins were down sequentially, driven by apparel and logistics seasonality and higher employee costs, including higher incentive compensation accruals following lower payouts for 2023. We anticipate sequential margin improvement in the second quarter, driven by higher volume and additional productivity initiatives. 
 Now shifting to our outlook for 2024. For the year, we continue to anticipate adjusted earnings per share to be in the range of $9 to $9.50, up 17% at the midpoint, reflecting a more than $0.05 increase from our operational performance, offset by a similar size headwind from currency translation. And as you will recall, our outlook includes 4 key drivers of earnings growth in 2024, which are all on track: the normalization of label volumes early in the year, the normalization of apparel volumes mid-year, significant growth in Intelligent Labels as apparel rebounds and new programs continue to roll out and ongoing productivity actions.  
 We've outlined additional key contributing factors to our guidance on Slide 12 of our supplemental presentation materials. In particular, and focusing on the changes from our assumptions in January, we estimate roughly 4% organic sales growth, 50 basis points higher than our previous outlook due largely to the slightly higher pricing than previously anticipated. We continue to expect high single-digit volume growth, partially offset by deflation related price reductions for the year.  
 We expect incremental savings from restructuring actions of more than $45 million. And we now anticipate a headwind from currency translation of roughly $5 million in operating income for the year, up from our previous outlook of modestly favorable. 
 We estimate the Q1 customer pull-forward benefit that Deon mentioned earlier, was roughly $0.05 of EPS and will come out of Q2. Overall, in Q2, we continue to expect improvement in the underlying business. And we anticipate EPS will be down slightly from Q1 due to the customer pull forward.  
 We continue to expect earnings in the second half of the year will be stronger than the first half with apparel industry volumes normalizing midyear. 
 In summary, we continue to strengthen our results as we advance our growth initiatives and our markets normalize. We continue to expect a strong rebound in 2024 throughout a variety of environments, and we remain confident in our ability to continue to deliver exceptional value through our strategies for long-term profitable growth and disciplined capital allocation.  
 We will now open up the call for your questions. 
Operator: [Operator Instructions] Our first question comes from the line of George Staphos from Bank of America. 
George Staphos: As always, solid start to the year. Guys, one quick question for you on Intelligent Label. This current quarter, you're guiding to organic sales growth for IL or approximately 20% prior with -- I think you're saying 20% plus. Can you remind us what's going on? There are a couple of things you called out for first quarter. Is that the only thing that's -- I think you said parcel shipments were a little bit slower than expected in 1Q. Is there anything else behind that modest adjustment in your guidance for IL? And then relatedly, if I could, just margins in and solutions, were they as expected for the first quarter? Or are there any headwinds that you hope will reverse into 2Q? 
Deon Stander: George, thanks for the question. As it relates to our IL guidance, we did see slightly lower volumes than we anticipated in logistics on lower parcel shipments. And -- but we did also continue to see some apparel IL growth ahead of our base business as well in apparel at the moment. And that's largely because some of the new programs that we've been rolling out, including Inditex, where we're driving loss prevention continues to be very strong as well. As we look forward, we still see the recovery of the apparel business in the second half to be a key driver of our IL growth as well. 
 And in addition, the continuation of our programs that are in flight and rollout and some of the conversion of our pilots and trials to rollout as well. And those, George, as you know can be episodic, they can switch from quarter-to-quarter. We fundamentally believe in the strength of the opportunity that lies ahead of us. I'll remind everybody that all of these industries outside of apparel are still in the nascent stage. There are significant growth opportunities ahead and we're going to continue to invest to drive and deliver on that 20% growth. 
Gregory Lovins: Yes. George, to your second question on apparel or Solutions margins overall, we did expect some decrease sequentially, largely due to the seasonality with apparel and logistics now having a little more of a seasonality impact in Q1 versus Q4. So that was part of what we had expected. And we also see some employee cost increases as we look quarter-over-quarter. I think we've talked about these temporary cost savings last year that included items such as belt tightening, volume-related actions, things like that, but it also included incentive comp. 
 And just given the fact that last year, our incentive compensation was a bit -- or quite a bit lower than our target, given where our results came in versus our initial expectations. That was a sequential headwind for us that we expected as well. Now we look forward to Q2, I think I commented earlier, we do expect Solutions to margins to increase quarter-over-quarter. Some of that is due to the volume. That seasonality that impacted Q1 starts to benefit from Q1 to Q2. And the business is continuing to drive further productivity there as well. So we would expect some sequential improvement in Solutions margins as we move through the year. 
Operator: Our next question comes from the line of Ghansham Panjabi from Baird. 
Ghansham Panjabi: I guess first off, on the apparel market assumption that normalization by the middle of 2024. Can you just give us a bit more insight as to what supports the confidence associated with that? And then on Materials, I'm sorry if I missed this if you already called this out, but what was the pricing impact specific to the first quarter which it seems like it would be quite significant and perhaps one of the biggest you've seen in multiple decades. And how should we think about that evolution into the second quarter and the back half of the year? 
Deon Stander: So Ghansham, on the apparel recovery, and I'll let Greg handle the Materials question. On the apparel recovery, we're seeing a couple of factors in play. I think we've been pretty clear all along that apparel imports continue to be significantly below 2019 levels. And what we saw in the last quarter is some slight improvement in our apparel import rates, particularly in North America, not yet in Europe, but particularly in North America. We also know having spoken to many of our customers that their -- inventory volumes that they're having now are at the place where they feel very comfortable generally across the board. That hadn't been the case up until we got into the first quarter. 
 And I think in conversations as we speak with all of our customers, we know that while the environment is still uncertain and they're certainly weighing in that uncertainty into their near-term sourcing, the combination of slowly seeing some apparel imports starting to recover as well as where their inventory levels are. And the fact that we are seeing some of that sentiment come back would underpin the fact that we believe, by the midyear, we'll tend to see apparel volumes normalize. 
Gregory Lovins: Yes. And on your second question, Ghansham, when we look at Materials in the quarter. Overall, as we talked about, our volume was up low double digits in the quarter. And that was offset by -- partially offset by 2 factors. One of those was price, which was down mid- to high single digits in the quarter versus last year, then also mix down low single digits as well as some of that or more of that destocking took place in our base business, with generally less -- lower prices per unit. 
 Now on the price piece, Q1 from a year-over-year perspective is the biggest headwind. We're really starting to see some of that sequential deflation last year, really starting in the second quarter, and our pricing kind of followed that. So the biggest year-over-year pricing headwind will be Q1. And as I think I mentioned earlier in the prepared remarks, we are doing some pricing actions to deal with some of that targeted sequential inflation that we see in the second quarter as well. So we expect pricing sequentially to go up a bit from Q1 to Q2. 
Operator: Our next question comes from the line of John McNulty from BMO Capital Markets. 
John McNulty: I wanted to dig into the Materials Group margin, which looks like it was a record because it seems like there's a lot to unpack. You had a bit of pull forward in Europe. At the same time, look, you've made a lot of cost cuts, you're getting back to kind of more normalized levels or volume levels to think about. So I guess can you help us to think about the sustainability of this margin level as we kind of look through '24 and go forward? 
Gregory Lovins: Yes. Thanks, John. So I think you called out a lot of the buckets, really, the big driver of margin when you look year-over-year and even sequentially, is the volume increase. So year-over-year, obviously, it's very significant. And sequentially, we had an improvement as well as we still had some destocking back in Q4 that we talked about is behind us now. The other thing that the Materials business has been significantly doing is driving productivity. So we've got some large restructuring actions as well as just ongoing ELS type of productivity initiatives that the team is continuing to drive. 
 So those volume and productivity initiatives are really driving the significant margin expansion and they're largely offsetting wage inflation in that incentive comp headwind I talked about a minute ago. So the teams have been doing a really good job driving that. 
 When we look forward, I think I talked about last quarter, we set our targets back in 2021 for the cycle that ends in 2025. We talked about Materials margins getting around that 17% EBITDA level. Now clearly, we've delivered that here in the first quarter and gotten pretty close to that in the back half of last year as well. And our focus is continuing to deliver on that long-term target as we stated. 
 And as always, in the Materials business or in all our businesses, really, it's a focus on balancing our top line growth, balancing our margins, our capital efficiency, to drive EVA growth over time. And this business has been a big EVA driver for us for a long time, and we're going to continue balancing all those drivers to deliver incremental EVA into the future as well. 
Deon Stander: And John, let me just add from a market perspective, we were very clear that we thought destocking ended in Europe last year in the third quarter and the U.S. roughly in the end of the fourth quarter of the year. And we're seeing that play out in conversation with our customers where there had been more limited visibility to end CPG demand that has expanded. They're seeing more confidence there. And their own volumes of inventory are much more normalized now than they have historically been over the last sort of 1.5 years as it were. 
 And so that also underpinned the fact we're starting to see more normalized volumes. I put that also in the context of we continue to see macro retail volumes still being relatively low, both in the United States and in Europe. And so I think that speaks to also just the forward outlook being while confident in our continued normalization, there is still some caution out there as well. 
Operator: Our next question comes from the line of Anthony Pettinari from Citigroup. 
Bryan Burgmeier: It's actually Bryan Burgmeier sitting in for Anthony. Just on the rising paper costs in Europe, I know you cited a bit of a margin headwind next quarter. Can you just remind us how Avery has handled this type of inflation in the past? Or how long it typically takes you to get caught up on net price? And do you believe with the finished strikes now resolved, order patterns and paper costs can kind of normalize maybe in the second half of the year? 
Gregory Lovins: Yes. Thanks Bryan. So traditionally, we've talked about it taking about a quarter to implement pricing from the time we start to see some of that sequential inflation, and we expect to stick at least. And back in the '21, '22 time frame when we were seeing pretty significant sequential inflation each quarter, we had narrowed that gap a bit from that 3 months to a much smaller amount. I think we're just starting to see this sequential inflation over the back part of Q1. So we would expect it to take a couple of months to get that in place in some point in the mid- to late part of Q2. 
 So overall, we don't see in our visibility on Materials markets, our raw materials aren't that far in front of us. So we're really focused on what we're seeing right now in Q2. So right now, we don't have a lot of visibility past that, but not expecting too much to happen past Q2 from a raw material perspective at this point. 
Deon Stander: And Bryan, all I'd add is that unlike in '22 and then into '23 when we saw that significant inflation period and then followed by deflation, this one over here, in particular in Europe is related to the Finnish port strike, which has now ended and concluded. That's the good thing. I think we're still going to see some of those ripple effects come through, as Greg has alluded to. But as the market leader, we tend to be very disciplined in our pricing approach. And so when we see inflation, we tend to respond both with productivity and price increases. And when we tend to see deflation, we tend to unwind those as well appropriately to make sure that the custodians of the industry, we're managing the health and the balance of the industry as well. 
Operator: Our next question comes from the line of Jeff Zekauskas from JPMorgan. 
Jeffrey Zekauskas: I was looking at your Slide 11 in your description of the organic growth in Solutions. And I looked at your percentages. And so if Intelligent Labels is 32%, growing 17%, that's up 5.5%. And if your high-value categories are 28%, growing at low double digits, that's up another 3% and then you get something from base categories. So if you simply follow your percentages, it looks like your organic growth should be, I don't know, close to 9%. Is there some acquisition that's included and maybe the Solutions, high-value categories? Or is it something else? And then secondly, did your Intelligent Labels revenues shrink? Were they flat? Did they grow sequentially? 
Gregory Lovins: Yes. Thanks, Jeff. So I think to your point, high-value categories in total that includes Intelligent Labels and Solutions on that chart shows it's around 60% of the segment. So when you look at that, it is a large portion or a significantly large portion of the overall growth in the quarter. And as we said, the base business is up kind of low single digits there on -- in addition to that. There are acquisitions in the high-value categories last year. We did 3 acquisitions in our External Embellishment space. which is part of that high-value segment category piece that's in our ex currency growth year-over-year as well. 
Deon Stander: And Jeff, to your second question, our Enterprise IL revenue in dollar terms was sequentially lower than Q4. Recall Q4 is a high watermark for logistics. And for the apparel business, Q1 sequentially is a lower quarter from an overall both apparel and logistics as it were. 
Operator: Our next question comes from the line of Josh Spector from UBS. 
Joshua Spector: So I wanted to dig in a little bit more on the cadence of earnings into the second quarter. So if I look at history, typically, you're up something like $0.20 sequentially. Greg, you called out the $0.05 to pull forward. I guess if I say Materials margins are down modestly, maybe that's $0.05. I guess what else would be the other factors that would drive that lower sequentially and offset frankly, all of the normal seasonality here? 
Gregory Lovins: Yes. So as you said, Josh, seasonality in the last few years has been pretty unique with a lot of the destocking in 2022 and 2021 and then the destocking we saw in 2023. But generally, we would expect some seasonality benefit moving from Q1 to Q2, just like we talked about in the first quarter, we had a seasonality impact from [ inland ] base apparel in our Asia business from Lunar New Year, we get a little benefit of that volume from Q1 to Q2. At the same point, as I talked about, we have a little bit of sequential inflation that takes us a little bit, as I mentioned a few minutes ago, to cover that. 
 And also our annual wage inflation for us kicks in on generally April 1 each year. So that's a sequential headwind from a cost perspective as well. And we'll obviously be implementing productivity initiatives to cover that, but it is a sequential impact when we look Q1 to Q2. So again, and then that pull forward kind of brings it down. Without the pull forward, our underlying business, as I said, would be up sequentially without that. 
Operator: Our next question comes from the line of Chris Kapsch from Loop Capital Markets. 
Christopher Kapsch: So my question is focused a little bit more on strategically addressing the Intelligent Label opportunity. And it's -- that RFID adoption expands beyond traditional, say, item level apparel and into other verticals. Based on sidebar conversations we've had and at our recent conference, we talked about this, but your efforts to use sort of value selling techniques to capture more of the value that a program brings to bear in a given application or vertical beyond just sort of a cost-plus pricing paradigm that might be the case with a more straightforward solution like logistics, shipping labels, for example. 
 So I'm just wondering in terms of that value proposition for a use case that brings something like inventory accuracy or to help with shrink or replenishment or to prevent stock outs or to help sales. Just wondering if that approaching these potential new use cases with more of that value selling proposition? How is that going? And is this something that could sort of change the paradigm in terms of potential margins for this business as growth persist going forward? 
Deon Stander: Thanks, Chris, for the question. Yes, so I'll just remind, Chris, in the discussion that we had as well, is one of the reasons why we have such conviction around the growth potential of the business is just the scale of the opportunities in these adjacent categories. And I think I said before, food is in an order of magnitude, 4 or 5x larger than our apparel opportunity in total. And we're only there 40 or so penetrated. Logistics is 60 billion units relative to apparel of 40 billion. And all those segments are still at the nascency where we see an opportunity to help sort of connect the physical and digital by leveraging both our RFID capability and some of our other capabilities we have around data management and material science as well. 
 And that gives us the confidence as we look forward to know that we've been investing in this. And now as these markets slowly start to adopt, we're starting to see that the benefits that we think are there are manifest in those segments, and we believe will also be ubiquitous when you look at broader segment adoption as well. I think the approach that we've taken, as we've looked into these segments is one that we've been building on for a while, Chris, which is what is the scale of the differentiation of the total solution we're able to bring to bear in those opportunities. 
 And clearly, the more differentiated the easier it is for us to have more of a premium of value that we're able to recover, but also the scale of the opportunity of the value we're providing our customers is actually large in that regard. And we're seeing some of that come to bear in some of the trials and pilots and small rollouts that we're doing right now. 
 I think as we move forward, the concept of having a broader solution sell, including hardware, software, sensing technology, material science is at its infancy, but I think it will play a larger part in our future as we move forward in the years to come. 
Operator: Our next question comes from the line of Michael Roxland from Truist Securities. 
Niccolo Piccini: This is Nico Piccini on for Mike today. You kind of touched on it so far today, but just hoping we could delve in more. Recognizing that the timing of these IL deployments and pilot programs can change quarter-to-quarter. Could you maybe give us a tentative read on 2024, what the cadence for IL deployment looks like this year? I think there's a -- you call that a large logistics company that you're still working through, I believe, in the first half. But are there any other industries that might benefit this year? 
Deon Stander: Nico, the current forecast that we have, the way we're seeing the year unfold is basically all of the programs that are in rollout or an expansion. We have confidence that they will continue to do that. Now there always may be 1 or 2 quarters that things switched in terms of department changes and categories. Where we have pilots and trials, our effort is focused on trying to, particularly in food and logistics, move those to more adoption quicker than we are currently planned at the moment. And when we see that, that helps drive the broader industry adoption that we're anticipating. 
 I think if I took a step back overall, we know that the benefits case in some of these new segments is very compelling but it is going to be down to getting 1 or 2 customers started and making sure that those benefits are visible across the industry. 
 And that's typically when we see adoption start to resonate. And in that context, those can be episodic. They can be very lumpy as well as we've seen the history of apparel. And so the one difference between apparel and the other segments that we know is in the original parallel rollout over time, we have to both prove the technology and validate the business case. That doesn't remain -- that's not the case now as we look at these new segments because the technology is proven. 
 And so in the discussions we're having in the pilots and trials that we're doing at the moment, we can clearly see the benefits are there, and we're working hard, including across a broader range of logistics companies and a broader range of food companies to make sure that we're bringing them to full rollout in time. 
Operator: Our next question comes from the line of George Staphos from Bank of America. 
George Staphos: I'll ask them in sequence just to clear the backlog and then turn it over to everybody else. So on the Finnish strikes, I know that for now, they're over, but it's still not clear whether they are ultimately not going to resume again recognizing they're much more political in nature this time around versus a couple of years ago. I assume the experience from a couple of years ago, you've improved your supply chains and your ability to access paper if you need to, but could you sort of affirm that and give a little bit of color on what you've done there just to make sure that if the strikes resume, you're still in good position. 
 Secondly, it's like politics, weather is local, but it does seem like there's been a bit of a weather factor across a lot of the larger regions in North America in terms of being a little bit cooler in weather. Has that had any effect from your vantage point on parcel shipments and your label consumption that you might see come back later in the year? 
 And then lastly, I assume it's just because we've gotten back to normal, but that helpful slide that you've had over the last couple of quarters where you show some of your internal indicators. I didn't see it in this deck, should we assume that means we're back to normal, and that's a good thing. 
Deon Stander: Thanks, George. I'll take the first and then Greg can deal with the last one. As it relates to the Finnish strike, yes, the current resolution is as it is, it's resolved, but that doesn't preclude the fact that moving forward, that may change in time as well, George. I think the thing that we have lent on is 2 elements. One, we've specifically since the last experience we went through when we saw the significant supply chain constraints. We've deepened and broadened our supply chain fairly dramatically. Our sources of raw materials are no longer just single regional source, but they are more multiregional and multi-supplier source. And one of the reasons why we have seen no interruption during this period ourselves. In fact, our service excellence actually improved across the world because we have this resilience that we put into our supply chain as well. 
 I think the second thing is we've also really lent into trying to deeply understand both from a process and a data perspective where end consumption is likely to be and how that relates to the various inventory levels across CPGs, our converters and our retail customers as well. I think that helps give us greater confidence in how we manage our own supply chain and what we do in that as well. I think it relates to parcel shipments. We saw that certainly parcel -- local domestic parcel shipments are lower and I think that's public knowledge now as well. And our anticipation is that I think parcel shipments are going to be largely characterized by how U.S. retail and U.S. GDP goes as well. And at the moment, I think that still remains slightly uncertain. 
Gregory Lovins: Yes. Thanks, Deon. So on the internal indicator slide, George, to your point, Yes. I mean I think as we've talked about, our materials business is getting back to normal. We think the destocking is behind us as we've said. So part of why we didn't really need to provide those indicators as well, given that we are back to normal in that business or getting there at least. And in apparel, as I think Deon talked about a couple of minutes ago, we're also heading in the right direction there. We continue to feel confident that by midyear, we're kind of back to more normalized levels there. So just as you said, we're getting back to a more normalized state here as we move through the course of the year. 
Operator: Mr. Stander, there are no further questions at this time. I will now turn the call back to you for any closing remarks. 
Deon Stander: Thank you all for joining the call today. And while the environment does remain dynamic, we remain extremely confident in our position and our prospects and our ability to deliver GDP-plus growth and top quartile returns over the longer term. Thank you to you all. Good day. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.